Operator: Good morning, and thank you for holding. My name is Judith and I'll be your conference operator today. Welcome to Alight, Third Quarter of 2023 Earnings Conference Call. At this time all parties are in listen-only mode. As a reminder, today's call is being recorded and a replay of the call will be available on the Investor Relations section of the company's website.  I would now like to turn it over to Jeremy Cohen, Head of Investor Relations at Alight, to introduce today's speakers. 
Jeremy Cohen: Good morning, and thank you for joining us. Earlier today the company issued a press release with third quarter 2023 results. A copy of the release can be found in the Investor Relations section of the company's website at investor.alight.com.  Before we get started, please note that some of the company's discussion today will include forward-looking statements. Such forward-looking statements are not guaranteed to future performance. Actual results may differ materially from those expressed or implied in the forward-looking statements due to a variety of factors.  These factors are discussed in more detail in the company's filings with the SEC, including the company's most recent Form 10-K, as such factors may be updated from time-to-time in the company's periodic filings. The company does not undertake any obligation to update forward-looking statements.  Also, during this conference call, the company will be presenting certain non-GAAP financial measures. Reconciliations of the company's historical non-GAAP financial measures to their most directly comparable GAAP financial measures appear in today's earnings press release.  On the call from management today are Stephan Scholl, CEO, who will provide a business and strategy update; Katie Rooney, Global CFO and COO, who will discuss our financial performance and guidance, and Jeremy Heaton, Operating CFO, who will participate in our question-and-answer session. After their prepared remarks, we will open the call up for questions. I will now hand the call over to Stephan. 
Stephan Scholl : Thanks, Jeremy. Good morning, everyone, and thank you for joining us. Nearly three years into our transformation journey, we're delivering consistent and durable financial results, reflecting the mission-critical nature of our products, the resilience of our end markets, and more importantly, the success of our transformation into a platform company.  This quarter we drove high single-digit revenue growth, double-digit adjusted-EBITDA growth, operating cash flow expansion, and achieved our second largest quarter ever of BPaaS bookings. At the same time, we are investing in our platform strategy, delivering on our restructuring program, and executed our largest quarterly stock buyback to-date.  According to the results, our third quarter included revenue growth of 8.4%, and another outstanding quarter from the high growth category of our business, led by BPaaS Solutions, which had revenues increased by 22%.  Over the past three years we have prioritized our long-term strategy, shifting the focus from one-time projects into higher quality, recurring revenue on our Alight Worklife platform. This is reflected in our $262 million of Q3 BPaaS bookings, representing an increase of 26% year-over-year. In aggregate, we have now booked nearly 2 billion of BPaaS total contract value since 2021, $0.5 billion or over 30% ahead of plan.  Standardization through our platform strategy also enabled us to drive down our cost of service. For the quarter, adjusted EBITDA was up nearly 19% to $158 million, and year-to-date, operating cash flow increased 25% from the prior year to a record level for our Alight since going public.  While we delivered great results for the quarter, timing related to project-based revenue, as well as the in-year impact from new wins, closing later than expected, impacted the quarter. However, we have over 95% of revenue under contract for 2023, $2.7 billion of revenue under contract for 2024, and are $500 million ahead on our three-year BPaaS bookings target, which enables us to reaffirm our 2023 and midterm guidance. In addition, we are raising our 2023 adjusted EPS guidance range.  Turning to product and technology, our investments are driving a simpler and more effective way to navigate the annual enrollment experience. As of October 25, we are nearly 50% of the way through the process and have seen a tripling in mobile enrollments year-over-year. This is translating into reduced call volumes, which are down 11% over the same period last year.  The reduction in call volume is a key element driving long-term profitability, as digital care will continue to drive more efficiency and a better experience for our clients. Additionally, we've made great strides integrating Leave’s management more deeply within the Alight Worklife platform and have added new features to drive better content and decision support. Our research and client conversations continue to validate that there are gaps in the market around a consumer-grade experience integrated into HR platforms. We have several active client engagements where we're showcasing the powerful combination of Leave’s with our other administration and engagement offerings and how that can drive significant savings for an employer.  We're also excited for how AI is advancing our business, including a number of Generative AI use cases underway this year alone. As an example, Alight’s AI features are actively driving better outcomes for clients and their employees, with personalization emerging as a pivotal tool for enhancing engagement and cost optimization.  One Fortune 50 client seeking to boost HSA participation leveraged a highly efficient AI driven campaign, which resulted in 95% engagement of the eligible population and close to $1 million in employer tax savings.  Our product enhancements are differentiating Alight and translating into new wins and expanded relationships that support our future growth. These wins represent a healthy mix of new logo and client expansions across many industries, and our pipeline remains robust.  Significant wins this quarter include FedEx, NielsenIQ, BMW, and several Fortune 100 clients. Clients want a digital platform that can be the connective tissue between benefits, payroll and engagement offerings, and we accomplish that by leveraging AI and data analytics to help employees make better decisions. At its core, that is what our platform strategy is producing, a simplified, yet comprehensive enterprise offering that can demonstrably improve employee engagement and generate cost savings.  During the quarter, we also made progress simplifying our backend infrastructure and are on track to deliver on our restructuring program as planned. This includes migrating high-priority applications, including our data lake, which should better enable us to leverage analytics and the latest developments in AI, and deliver $100 million of annual run rate savings when the program is complete in 2024.  Finally, let me put into context what our transformational initiatives and investments have meant for the long-term trajectory of Alight. In just a few months, we will have successfully concluded our original three-year plan. The success of BPaaS and our many operational initiatives have laid the groundwork for delivering even more value in the midterm, including higher growth through a compelling client value proposition as a result of building our Alight Worklife platform.  Next, margin expansion. As we move from customization to standardization and simplified decades of Tech Stack, while still offering the all-important personal touch when needed. And finally, enhanced free cash flow generation to reinvest in the business, strengthen our balance sheet, and return capital to shareholders.  We see the market undergoing a paradigm shift where corporations are looking for a partner to be on the front lines with them to help take costs out, while simultaneously providing a better employee experience. As a result of our transformation, we are well positioned to be that partner of choice.  With that, Katie, over to you. 
Katie Rooney: Thank you, Stephan, and good morning everyone. We showed strength across the board with our third-quarter performance, including robust total revenue, BPaaS revenue, adjusted EBITDA, and operating cash flow growth, all while continuing to invest in the business. In addition, we delivered one of our best BPaaS booking quarters in company history.  Starting with our consolidated results, we achieved revenue growth of 8.4%, highlighted by our high-growth category of BPaaS solutions, which advanced 22%. Timing related to project-based revenue, as well as the in-year impact from new wins closing later than expected, impacted this quarter's revenue growth.  Recurring revenue grew 8.3% and comprised over 83% of total revenue. Adjusted growth profit was up 20%, with significant margin expansion of 340 basis points to 35.3%, driven by productivity savings and higher revenue. Adjusted EBITDA increased 18.8% to $158 million, with a margin of 19.4%. This represents a 170-basis point increase from the prior year.  Our increasing level of profitability, coupled with working capital improvements, are generating stronger cash flow, even as we simultaneously execute on our restructuring program. Year-to-date we generated operating cash flow of $251 million, which is $50 million more than the prior year and represents a conversion rate of 54%, compared with 48% last year.  And as a reminder, spending on our restructuring program will temporarily slow in Q4 as planned during annual enrollment, and we expect to resume activities in the New Year, with target program completion scheduled during 2024. We expect to start seeing financial benefits in late 2024, with full annual run rate achieved in 2025. Turning to our bookings performance, we delivered record third-quarter BPaaS bookings of $262 million, representing growth of 26% year-over-year. Our value proposition of driving better outcomes is resonating with employers, and the intensity of conversations remains elevated. We continue to see strong demand for our solutions, particularly in an environment where employers are more acutely looking to reduce cost and achieve better ROI for their HR spend.  As I spend more time with clients in my expanded role, this dynamic is becoming more obvious. The C-Suite is more engaged this budget season in addressing macro pressures, but doing so in a way that doesn't sacrifice the employee experience. This is enabling us to build our pipeline with new logo and upgrade opportunities.  With that, let me now turn to our segments, starting with employer solutions. Third quarter revenue was up 8.7%, with recurring revenue up 8.7% as well. Key drivers of growth include overall net commercial activity from upgrades and new wins, volumes and the impact from the regroup acquisition, which closed in December of 2022. There was no incremental impact from Thrift this quarter.  While we typically see higher upfront costs in Q3, supporting Q4 growth, we drove better profitability due to our productivity initiatives. As a result, third quarter adjusted gross profit was up 21.5% to $260 million, and adjusted gross margin increased 390 basis points to 37.1%.  Turning to our professional services segment, third quarter revenue growth accelerated sequentially and was up 10.5% to a record $105 million. This was driven by a nearly 10% increase in project revenue, due in part to the implementation of our GE deal, and a nearly 13% increase in recurring revenue. On a profitability basis, adjusted gross profit was up 8% from the prior year, with margins impacted slightly by higher personnel costs to support the growth.  Turning to the balance sheet, our quarter end cash and cash equivalents balance was $276 million, and total debt was $2.8 billion. We continue to actively manage our debt, which is 84% fixed through 2024 and 60% through 2025.  During the quarter, we completed an opportunistic repricing of our 2028 term loan. The result is an improved interest rate of 25 basis points, equating to $6 million of expected annualized interest expense savings.  We are updating our expected 2023 interest expense to a range of $130 million to $135 million, down from $140 million to $150 million, given market rates and the repricing. Meanwhile, our net leverage ratio continues to improve, and at the end of the quarter was 3.6x, keeping us on track to achieve our midterm net leverage target of approximately 3x.  And lastly, we were also active buyers of our stock, repurchasing $26 million worth of shares during the quarter. Our remaining authorization was $48 million at quarter end. Overall, we continue to be disciplined in our capital allocation priorities and on achieving success across our three key pillars, preserving a strong balance sheet, reinvesting in growth opportunities, and returning capital to shareholders.  Turning to our outlook, as we look to finish out the year, we are closely monitoring the macro environment and sales activity of our non-recurring solutions. As in prior years, Q4 revenue carried the larger contribution from short-term projects, commissions within our retiree health business, and professional services, all of which have a shorter sales cycle through the enrollment season.  However, with more than 95% of revenue under contract, we are reaffirming our 2023 revenue, adjusted EBITDA, and cash flow conversion guidance. We're also raising our adjusted EPS guidance range. Our adjusted EPS is now in the range of $0.65 to $0.69, compared to the prior range of $0.62 to $0.67 or growth of 14% to 21%, and primarily reflects the expected decrease in interest expense.  Overall, our third quarter results, which included strong growth, great bookings and even better profitability, are a reflection of why our transformation has been so important. By developing the Alight Worklife platform, we have set a course to continue winning in the market and delivering sustainable and profitable growth. We look forward to building upon the momentum as we deliver a better experience for our clients and their employees.  This concludes our prepared remarks, and we will now move into the question-and-answer session. Operator, would you please instruct participants on how to ask questions? 
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from Scott Schoenhaus of KeyBanc Capital Markets.
Scott Schoenhaus: Hi, team. Apologies for the nasally voice. I'm a little under the weather, but congrats on the results. I first wanted to talk about the BPaaS bookings, a nice re-acceleration. And Stephan, clearly you talked about kind of it being lumpy with being pushed out from 2Q into 3Q.  I'm just kind of wondering if you could give more commentary. And this is also for, I guess, for Katie as well, since Katie did talk about the strengthening demand for the product offering given the macro conditions.  But what are you seeing in terms of the pipeline? Is it more accelerated interest on the international side with global enterprises and sort of kind of delayed in signing the deals or just kind of give us more color on what you're seeing in your pipeline currently? I know you mentioned it's broad-based in the press release, but just kind of looking for more color here as we approach year-end on the BPaaS bookings. Thanks. 
Stephan Scholl : Sure thing. Hi Scott, and hope you feel better. And listen, we've talked about this now for the last few years, which is this best of breed to enterprise or to platform is really resonating with our clients, and it has to do with the macro environment. Every client, every CEO I talk to is looking for ways to consolidate and simplify and take costs out.  And as you all know, the HR realm is the last holdout of that big transformation that so many companies have lived through for the last 20 years, around how to deal with clients and their customers. That never happened in the employee landscape. So when you see some of our biggest deals, it's where they're coming to us and saying, listen, we're coming out to RFP for some of these niche products or what I would call transactions.  But we want to take a broad review. And that broad review is a platform approach. So how do you consolidate benefits with navigation, global payroll into one overarching approach? So some of our biggest deals last quarter were exactly in that vein, so that's what's exciting for us.  And we're seeing a lot more activity from CEOs and especially CFOs and the CIO ranks that are now spending a lot more time with their client, with their HR constituents to really spend the effort to help drive that enterprise consolidated type of an approach. So that's right in our wheelhouse for us. 
Katie Rooney : Yeah. And Scott, I think the only thing I'd add is you're right. Like we named NielsenIQ in the quarter, which was a fantastic opportunity that the team really did an excellent job landing in terms of – Nielsen was going through a merger obviously with kind of a big acquisition. And they needed a kind of a global view into the payroll landscape, how that all comes together, right, how they have a better experience drive down cost. And so I do think there's great demand in that space.
Stephan Scholl: And I think maybe one more piece is we've beaten our largest competitors on some of these big competes, because we've been able to change the narrative from a best-of-breed rather than just a global payroll against global payroll decision or Ben Admin for Ben Admins. It’s because the two come together and we're the only ones who have the two that has really been a strategic advantage in our win rates coming up as well. 
Scott Schoenhaus: Thanks. And then my follow-up is on margins, clearly a great margin quarter. And Stephan, I thought it was interesting you mentioned about the open enrollment season, navigating people towards doing it on their mobile phone rather than a call center and saving money. Is that included in these productivity initiatives? Just curious on the breakdown, because that obviously should continue in the fourth quarter for the open enrollment. And just kind of wanted to think about how to frame all these cost initiatives into next year, but great margin performance this quarter. 
Stephan Scholl: Yeah. And thank you, Scott. And to your point, again, I just talked about the advantage to customers. The advantage to Alight, as you can see, is the tripling of our mobile usage. You can see the world, again, it's halfway through now. But to see double-digit reduction in our call center calls, I mean, that's bending the curve on our cost structure.  We've talked about that for years and that was just never possible. Our headcount always went up for the last 30, 40 years to serve that need. And to see it now go down and the needs in terms of resources needed to serve a much larger population than we even had three years ago, because as you know, with the major wins we've had, we’ve added millions of participants to our platform, and we have less people servicing that base than we did a few years back.  And that has all to do with the front door experience of Alight Worklife and creating a much better experience. So again, early days, but super good progress for us and we're super excited about it. And then maybe Katie on... 
Katie Rooney: Yeah. And I think, Scott, I mean how to think about that is, remember we actually talked about this a year ago where we started to see some of that momentum. You almost have to think a year out, right, because then based on the performance last year, we could staff accordingly this year.  Now, what we're seeing, continued reductions, plus obviously with our restructuring program, we're also changing the infrastructure in terms of how we staff for peak levels. We have more variability, which will help us going into next year as well. So that is definitely a driver of the continued margin improvement.  Operator, next question. 
Operator: Scott – thank you. The next question comes from Pete Heckmann of DA Davidson. Please go ahead. 
Peter Heckmann: Morning, everyone. Thanks for taking the question. Could you talk a little bit about your implementation schedules? I know you have some very large logos in the pipeline. Some of those go live in ’24, some of them go live in ‘25. Are you feeling like you're on schedule with those? Are you finding the right people to hire and retain that can implement those projects? 
Katie Rooney: Yeah. It's a great question, and I think super important of what we're driving. I'm going to ask Jeremy to touch on that.
Jeremy Heaton: Hey, good morning Pete. Yes, we're seeing great progress in terms of implementations as we've talked about. GE being a very large deal, goes live here at the beginning of 2024 for part of it, and fully live in 2025.  Just the same technology that Stephan just talked about that's helping us through the annual enrollment period, that tech – the tech infrastructure, the standardization we have in the technology is going to continually allow us to create capacity for more larger deals, as well as to go live faster.  So everything is on track that we talked about, and we're continuing to see, again, acceleration in terms of the implementations of our deals. 
Peter Heckmann: Good. That's good to hear. And it feels as if wage inflation has come off a little bit, but I mean, how are you thinking about the measure of employment cost index relative to your ability to pass through some pricing in 2024? 
Katie Rooney: Yeah Pete, I mean – so you're right. As of September 30, the employment cost index was at 4.5%. So still kind of a small benefit in terms of where we're going, but it's really also a driver of how we're trying to change our pricing model in terms of, we've talked a lot about, right, getting value for the services and the investments we're making from a technology perspective, while also being clear on the importance of our service delivery capability and really bifurcating both of those.  So, I think it obviously still impacts the business, but I think is an opportunity for us to continue to drive value for the investments we're making. 
Peter Heckmann: Fair enough. I appreciate it. 
Katie Rooney: Thanks, Pete. 
Stephan Scholl: Thanks, Pete.
Operator: The next question comes from Tien-tsin Huang of J.P. Morgan. 
Tien-tsin Huang: Hey, good morning. Just the timing of the annual revenue that impacted the results in the quarter, did you quantify that? And is that a client-side issue, just with them being a little more cost-conscious, curious how broad-based that was as well. 
Jeremy Heaton: Sure. I'll take that one. It’s Jeremy. Good morning, Tien-tsin. So just to clarify, as we've seen in the notes this morning, just this was, the impact, let's call it $15 million in the quarter, is primarily in our non-recurring project revenue within employer solutions. So very minimal really as you think about, really where our focus is on the high-value employer solutions revenue, the recurring revenue, very minimal impact in terms of in-year.  But this is more of, as we ramp through annual enrollment, that non-recurring base, which again is a big driver for us as we look at going into Q4, is really where we saw some of that impact.  Once again, on the larger transactions, what drives the recurring revenue base, that's really the focus of the 22% that you saw in the BPaaS revenue growth within the quarter. But again, 95% under contract for the year, and have a good plan in front of us in what we can see from a visibility standpoint in terms of getting through 2023, and no impact, importantly, as well as you're thinking through 2024 in the midterm outlook, because once again, $2.7 billion under contract. It's a record for us through the third quarter, and so I feel really great in terms of where we are from a bookings perspective there. 
Tien-tsin Huang: And when you talk about 95% of the business under contract, at this point we're what, November 1? I would imagine that's... 
Jeremy Heaton: As of the end of the third quarter. 
Tien-tsin Huang: As of the end of the third quarter? 
Jeremy Heaton: Yeah, yes. 
Tien-tsin Huang: Right. And so I know that year-end has a little bit more in the way of the non-recurring. Any additional comment on visibility there? I know based on the range of outlook, it sounds like it's reasonably visible. 
Jeremy Heaton: Correct, correct, yes. We again, like the shorter sales cycle as Katie mentioned, so there's really three aspects within the fourth quarter which drive that non-recurring base, which is the project work within Employer Solutions, our professional services deployments, as well as the retiree health business. But again, we've got a pipeline, we've got a track record of being able to execute within the fourth quarter, and really those are the elements for us in terms of reaffirming the ‘23 guidance. 
Stephan Scholl: I think that the key piece, just to pull that out is, within Employer Solutions, the high-value ARR-type business that has continued to see really good strength, and that's what gives us the confidence into not only Q4 especially, but into ‘24 and our midterm guidance to continue to support that. 
Tien-tsin Huang: Right, right, just the quality side, I get it. So just one more, if you don't mind. I apologize for the third question. Just on the BPaaS booking side, I know it was asked, but it looks like you need about the same amount you saw in the third quarter to get to midpoint for the full year. So same question on visibility there, and I can't recall how fourth quarter from a seasonality standpoint is important here, including what happened last year in the fourth quarter. Thank you. 
Stephan Scholl: Sure. Sure. Yeah. So typically what we've seen is there is a ramp through the second half of a year in terms of bookings. Last year obviously we had the large GE transaction which drove Q4. But again, pipeline is robust. For us, we feel great in terms of performance and what we saw in the third quarter, and there's plenty of deals and opportunities that are out there and what we're seeing from an overall demand environment, in terms of feeling good and going into the fourth quarter and where we're at. It's tough to say.  Every deal is binary, and it can – days or weeks can determine what goes within the quarter for an actual, the bookings number itself. Typically, we do see it kind of step up into the fourth quarter. But again, we'll take it deal by deal, but the pipeline is strong. 
Jeremy Heaton: Yeah, the pipeline is strong, U.S. domestically and internationally. So I think it's a good – what we're seeing is a good cross-section of strong pipeline around the world. And what I think is exciting for us Tien-tsin is, again, you know our footprint right. We deal with a lot of large-scale, global 1,000 clients. And what's exciting to see at board level and CEO level is a continued trend towards saying stopping the rogue spending by division or by department or by geography.  So you're seeing a lot of senior executives saying stop the U.S. making their own decisions or international. So we're playing that real strength into the more enterprise platform consolidated sales campaign, which plays to our strength. Because as you know, most of our competitors can't really do a lot of international capability like we can, so that's our strength.  The harder part of course on that is as Jeremy just said, is these are lumpy and these are really big deals, and it takes a lot of the individuals – it's not just the CHRO and the divisional department involved. You now have CFO and CIO and CEO in many cases heavily involved. But the pipeline is stronger than we've seen in a long time. 
Tien-tsin Huang: Great. Thank you for the color guys. 
Stephan Scholl: Yeah, thank you. 
Katie Rooney: Thank you, Tien-tsin. 
Operator: Thank you. The next question comes from Kyle Peterson of Needham and Company. Please go ahead. 
Kyle Peterson: Great, thanks. Good morning, guys. I appreciate you taking the question. 
Stephan Scholl: Good morning. 
Jeremy Heaton: Good morning, Kyle.
Kyle Peterson: Yeah, good morning. I wanted to touch and start out on macro. Obviously good to see strong bookings quarter. But maybe if you could just touch on like maybe how macro is kind of factoring into whether it's client conversations or timeline to get some of these bookings across the finish line. Just any more color as to kind of how that's playing into client decision-making would be helpful. 
Katie Rooney: Yeah, thanks Kyle. I think we haven't seen a significant change in the demand environment is what I'd say overall. You kind of heard that in both Jeremy and Stephan's comments earlier. There's a continued need – and I said it in some of my remarks earlier as well – that we're seeing with the C-suite, especially going into budget season next year, that they are taking, right, kind of a full, broader look at their spend, at the employee experience.  How do we continue to improve that, while also being conscious of the outcomes they need to drive, and that's a real opportunity for us. So we're spending a lot of time with making and improving those use cases that enable our clients to move.  So these are tougher conversations you've seen. Our sales cycle is longer. But in terms of overall demand, kind of the large deals we see in the pipeline, those continue to build. It's now about execution and getting them over the line. 
Stephan Scholl: And maybe, Kyle – I mean, I already said a lot of it to Tien-tsin earlier, but maybe a different element to it is, I had a CEO dinner a couple of weeks ago. And what was interesting, how one CEO of a large company framed it up and says, listen, I spend about $300 million of administrative system spend across Workday and Alight and the vendor community. But that $300 million spend actually equals $2 billion of impact to my company. That's the TAM we're dealing with.  When you start thinking about employee engagement, the cost of employees, claims data, attrition data, most of our clients are – that cost begins with a B. And so if you're thinking about solving that $300 million problem, that's more transaction oriented.  The platform approach is what solves the $2 billion problem. So we're connecting the dots a lot better for a CEO on where is your spend going? Why is the attrition happening? A lot of our clients are dealing with really big attrition in their first year of having employees onboard. Why is that? And the category of well-being and benefits and support is a big topic that's kind of not so clear to a CEO.  So it's really – solving that $2 billion problem has been really exciting for us, because again, it puts us in a unique position because of our capability to bring so much of the content to bear, but do it in the context of Alight Worklife and I think that's been what's unique for us. 
Kyle Peterson: Got it. It's a really helpful color. Just a follow up on kind of use of cash here. Great to see you guys stepped up the buyback a little bit in third quarter. But how should we think about how you guys are balancing, whether it's the buyback and with the stock and where it is or how's the M&A pipeline and how are you balancing those opportunities? 
Katie Rooney: Yeah Kyle, we're looking at all as we always do, right, and we're taking a return on capital approach as we think about the best opportunities for us. You saw in the quarter that not only did we strengthen the balance sheet with repricing our debt, we obviously bought back shares more aggressively than we have in any quarter. And at the same time, we will continue to look at investing into the business.  That's a key priority for us, but we know we have to get that tradeoff right, and we've obviously been very disciplined this year, as you've seen from an M&A perspective, given where valuations sit and what we think we can do in terms of partnerships and kind of some of the organic builds we're doing across our product pipeline. So we'll continue to focus on getting that balance right and coming at it from a return perspective. 
Kyle Peterson: Got it. Makes sense. Thanks, guys. Nice quarter. 
A - Stephan Scholl: Yeah. Thanks, Kyle. 
Jeremy Heaton: Thank you. 
Operator: Our next question comes from Pete Christiansen of Citi. Please go ahead. 
Pete Christiansen: Thank you. Good morning. Thanks for the question. And nice trends on the pipeline and certainly operating efficiency there. Good to see that. We're actually getting a bunch of questions. I think it's really the one gap, at least versus consensus estimates, was on the recurring – ES recurring revenue side. I realize it was a tough comp, but it did decline sequentially. Just was wondering if you could provide a bit more context on the performance there.  And then as my follow-up, I know Stephan you called out some interesting stats on the enrollment season so far, certainly on the operating side. But just wondering if you had any early color on benefit attachment rate and any changes there. Thank you. 
A - Jeremy Heaton: Thanks, Pete. This is Jeremy. I'll take the first part of your question. So just to clarify again, on the revenue question, within employer solutions, what we saw was we were a bit lighter on the non-recurring side of it. Just as you think about expectations and what you're seeing and possibly getting notes in on, is in the non-recurring project revenue business, sitting within employer solutions. So that's the important piece there.  Sequentially, again, what we talked about right is just in the plan that we had this year, was growth year-over-year was front-end loaded, driven by the Thrift contract, which had its one-year anniversary last quarter and so that's the driver of sequential change. But again, all within our plan and internal expectations and part of the guidance that we gave for the year. Is that helpful? 
Pete Christiansen: Yes. Thank you. 
A - Jeremy Heaton: And then just, because I said a lot, I'm not sure I fully understand the second question. Say it again. Benefits attached? I'm not sure I understood that part. 
Pete Christiansen: Yeah, sure. Yeah, so I mean, obviously you're 50% through the enrollment season. You called out some neat things on the operating side, reduced call volumes, so on and so forth. Just curious if you're seeing any other changes, at least on I guess the revenue side with benefit attachment rates. Some of the other payroll providers have called out weaker health insurance attachment and those types of things, perhaps related to inflation and those types of things. I'm just curious if there's any takeaways that you've noticed already from the enrollment season so far. 
Stephan Scholl: Yeah, I think what I – the tripling of mobile really speaks to taking something that's really complicated. Listen, we're all employees at the end of the day, right. So when you log in, this is not intuitively the last 30, 40 years in an easy experience. My goal and the team's goal here with product engineering has been to really simplify the experience.  So maybe to your point, if I'm answering this the right way, let me know, but the tripling of mobile use and the ability to have our call center reduction by double digits speaks to now making that experience a much more intuitive, easier experience for employees. That has to be the goal, because our point of our platform is engaging these employees, not on an annualized basis, but on a weekly basis or a daily basis. When we start connecting more of the data sets across the clinical elements, the payroll elements, the retirement components, that's the value of our platform.  Our goal is not to make just Ben Admin a simpler and better experience. It's making it that, but it's connecting the dots across a multitude of different transactions. So it's a fulsome experience for an employee.  Because remember, our number one objective as a company is to help employees keep them healthy and financially secure. And to do that, you need to aggregate all the data and you need to be able to engage employees on a regular basis, and that has to be a beautiful, easy and simple experience. It has to be a consumer-grade experience.  So those – the proof points of what you see now in the stats I just mentioned, and you're seeing the impact of that already. And the 340 basis points of adjusted gross profit increase is largely because we need less people then, and it is a more technology-oriented capability.  So I hope I answered – a long answer, but I hope I answered what you're looking for there. 
Pete Christiansen: Thanks, Stephan. That's helpful. We'll follow up later. Thank you. 
Stephan Scholl: Okay, you bet. Thanks. 
Operator: Thank you. Our next question comes from Heather Balsky of Bank of America. Please go ahead. 
Emily Marzo: Hi. This is Emily Marzo on for Heather Belsky. Good morning. 
Stephan Scholl: Morning. 
Emily Marzo: I guess my first question would be, given where product revenue is now, how much visibility do you have into that? And how should we be thinking about that going into 2024 with the beginning of the rollout of GE? 
Stephan Scholl: Yeah, I mean listen, I think we've all hit it here a little bit, which is – and I'm not sure why it needs to be clarified so much based on what's out there, but the high value segments of our business, which is the recurring business process as a service, so the BPaaS components, which show up in employer solutions is strong, and we feel really good about the high quality book of business. And that's what feeds us into not only finishing ‘23, but more importantly for everybody as investors. They all want to understand obviously what's the midterm continued to look like. Our mid-term guidance is strong because of that 26% BPaaS bookings, 22% BPaaS or revenue growth.  The air pocket, if you want to call it anywhere, is $15 million of kind of lower value one-time business that is in segments that do not really have a lot of impact in the ‘24 through ‘26 midterm guidance. So even though some of that revenue shows up in employer solutions, it still is that one-time category within employer solutions versus the higher category recurring revenue. So that's what gives us the confidence in ‘24 and beyond. 
Emily Marzo: Okay, thank you. And then following-up, how should we think about pricing given the new modules coming out semi-annually? How should we think about pricing going into 2024? 
Jeremy Heaton: So from a pricing standpoint, so we are out to market with a model that we've talked about, Heather, which has been well-received and allows us to monetize as you think about the two rollouts of new technology from a product standpoint each year. So it gives us an ability to monetize that in.  Of course, it will take time over the life of the renewal cycle that we have in the business for that to take hold, but it is a part of what we see as we look in the midterm outlook, both on a revenue and then how we think about that specific SKU level standardization, which is driving what you're seeing already today in some of the margin profile, and then the expectations, although we haven't given guidance for next year, of what we expect to see. So it's going very well and we'll continue to drive, but again, over a period of time for us. 
Emily Marzo: Thank you. 
Jeremy Heaton: Sure.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now hand over to Stephan Scholl for closing remarks. 
Stephan Scholl : Thanks, everybody. I really appreciate you all joining us today, and we look forward to building on our momentum and finishing the year strong. So look forward to seeing you all in the future. Thank you. 
Operator: Thank you, sir. Ladies and gentlemen, that concludes today's event. Thank you for attending, and you may now disconnect your lines.